Operator: Good day and thank you for standing by. Welcome to the Fingerprint Cards Q4 Results 2024 Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Stefan Pettersson, Head of Investor Relations. Please go ahead.
Stefan Pettersson: Thank you very much and good morning, everyone and welcome to Fingerprint Cards earnings call, following the release of our year end report this morning. So we’ll begin by presentation of the report by our CEO, Adam Philpott, and thereafter by our CFO, Fredrik Hedlund, and you can post questions throughout the call if you are following this conference call on the web. And with that, let me now hand over to our CEO, Adam Philpott.
Adam Philpott: Thank you very much, Stefan, great to be with everyone today and welcome to our Q4 2024 earnings results. Just by way of agenda, it will be myself and Fredrik Hedlund, our CFO, doing the talking today. For the agenda, we’ll start with an executive summary, then we’ll spend a bit of time on the strategy. Where are we going? And what are some of the things that we’ve been doing to execute that strategy before then taking a deeper dive into the Q4 results that I’ll initially share in just a second. So let me get to the executive summary. And I want to start by saying that we are pleased with the results. It’s not the end of our transformation by any means, but we are very pleased with the progress that we are making and we are pleased with how the transformation is showing up in terms of our financial results as well. So in terms of the executive summary, starting with the key financials, we are really pleased with the gross margin. We’ve adjusted gross margin for R&D depreciation. That’s how we’ll be reporting moving forward. But we are really pleased that with our R&D depreciation, GM is up to 49.8%, which is exactly on track with where we’re trying to get to. We do see continued improvement potential ahead of us as we continue to drive that up. But what’s important here is this is a really strong reflection of our transformation plan. A year ago, our adjusted gross margin was 17.9%. So you can see this dramatic improvement as a result of the transformation plan, focusing on the higher margin markets. We are also pleased with the revenue trends in our core business. Our core business being that business, excluding mobile and PC, which we are exiting, as you all know, up 12%, it’s actually 11.6% year-on-year and even good exit momentum quarter-on-quarter versus Q3 2024. So, really positive trend in the core business, double-digit growth there also. So, those are really strong signs that how we are transforming the business and focusing on really starting to pay dividends. As I said at the beginning, we are still transforming the company, but we are very pleased at those results. The total revenue is much lower. Why is that? Because we have been exiting those poor profit markets of mobile and PC, very high revenue, very poor profitability. But as you can see, that shows up in our gross margin in a very positive way, of course, as well, not only that is we run fiscal discipline within the business, we have continued to reduce our OpEx. Headcount, as we’ve said before, is about 70% of our OpEx. We’ve been focused on both headcount and non-headcount driving that down with extreme detailed rigor, headcount reduction. We’ve got 71 staff as of the end of December versus 185 a year ago. So 62% year-on-year reduction in headcount and we even saw a strong quarterly reduction in headcount, which Fredrik will touch on a little bit later as well. So positive movements in terms of the things we are doing to control the cost of the business. In terms of that headcount, really focusing on maintaining headcount where we need it. So ensuring we are taking our invested capital and applying it to where we are going to get growth. So, it’s not just about cutting, about being very smart about how we invest and where we are going as a company as well. And then, of course, after the quarter end, the rights issue raised SEK115 million in February 2025 before transaction costs, which leaves us in a debt-free position, a very strong balance sheet from that perspective. So those are the core financials as we think about the strategy, though, of where are we going as a company, you will have seen some very strong announcements for the company. We announced Anonybit in December. So, in Q4, our partnership there to expand into the cloud and solve identity problems at scale where they exist today and I’ll touch a bit more on that in just a moment. You would have seen the Smart Eye announcement that we made in January, really powerful partnership there, demonstrating the value of our core assets in this case, iris but also looking at a bilateral partnership where we receive a multimodal asset from Smart Eye really keen to see that manifest and partner very closely with Martin and the team over there because that bolsters our edge strategy, which again, I’ll touch on in just a moment. And then finally, some organic, great organic work we’ve been doing throughout the year, our AllKey biometric system partnerships with companies like jNet, for example, really good examples of how we’ll also organically leverage our core capabilities in order to execute this strategy. And so let me talk a little bit about strategy and we’ll go and do a deeper dive into the financials just a little bit later. And what I would start with is that our vision remains highly relevant today. You are the key to everything, remains our vision. And this is such a powerful vision. A vision shouldn’t change overnight. It shouldn’t flip block, this is a really enduring vision. And the reason this is such an enduring vision is that the problem, if you like, hasn’t been solved. The problem is this there are more and more digital services. There are more and more devices connecting. We as humans are interacting in the digital domain in ever more close ways yet at the same time, there is less trust in the industry, there is a framework called zero trust. So there is less trust about identity. So the challenge remains how do we identify at scale with an ever-expanding surface? And the reality is today, that is done primarily by passwords and then a number of other things that have risen around passwords try and solve it, which just have more complexity. So passwords aren’t working, alternatives and ways of mitigating passwords are working, because it’s not secure and there is a poor user experience. And so our strategy puts you as the key to everything, the human instead of a proxy for you, we have a strategy of edge and cloud. The edge is where we’ve always been. And so we will continue to play a very strong role in the edge. What do I mean by edge? That’s the place at which you as a human turn yourself and transmit a digital signal of identity. We will continue to play there, and we will expand what we do in that area, and I’ll touch on exactly what we’re doing there in just a second. At the same time, the more modalities we add, the more we can reach people because this is about availability as well as efficacy. It’s great to have a very high efficacy Fingerprint or iris, but if people don’t have access to that means of transmitting an identity signal then they can’t participate in using biometrics instead of passwords. So we need to look at other modalities that allow us to reach a broader set of users so that everybody can use biometrics. Not only that, the more modalities we have, the better we’re able to triangulate that information and have an even higher efficacy authentication using multimodalities for a single identity. So a really powerful piece on the edge. At the same time, if we just do that, we don’t solve our customers’ problems because they need to integrate this into the use cases they need. They need to integrate this into onboarding. They need to integrate this into log in. They need to integrate this for a step-up access for a more secure use cases or higher-risk assets for things like account recovery to prevent account safety, lots of different use cases that we need to do more than just provide a signal. We need to help them orchestrate that signal as part of their offering, too. So that they can use something I am for security, not something that can be lost or stolen like something I have or something I know alone. So that’s where we’re going as an organization. As we talk about then what are we doing about it? There is a number of things that I’ve already mentioned that we’ve done, and there’s a number of other things that we’ll continue to do. So this is about doing what we’ve said. We’re growing the core business by adding new capabilities like AllKey that we announced earlier last year. The partnership with jNet that we announced earlier, this year, different things that we’re doing to leverage our capabilities on the edge to allow more people to access biometrics to then displace passwords and have a better user experience and a more secure outcome for their organization. We’ve also done some inorganic things as well. So for example, the partnership with Smart Eye, where they – they are using our iris to improve their capabilities in the automotive space. But at the same time, we get back a multimodal asset, including space and including eye tracking as well. So, some great capabilities to build out our multimodal edge to allow us to reach different users and different use cases and expand the reach of biometrics that we can offer. Other organic things, I mentioned the Infineon partnership. That’s a really strong example of some of the things that we’ve been doing to continue to evolve the payment space as well. And then as we move to the right, you can see here, obviously, the Anonybit partnership that we also have. So I’m going to spend a bit more time on that in just a second. So this shows how we are building out more on the edge, but also diversifying into the cloud as well. If we go to the next slide, please, Stefan. The Anonybit partnership is a really powerful one. Very strategic moves us into the cloud, moves us into a more software modality and an ARR model in time. What is Anonybit? It’s a highly performing decentralized biometric cloud, it’s charted, which is – I don’t know if that word translates to offer, let me call it fragmented. So what they do is take the biometric template and fragmented across the cloud and which offers them really deep security and very deep privacy for a given user. So highly secure, highly private. And so what it allows is a highly scalable use of biometrics. So no longer tethered a lot of just on a piece of hardware, but actually, anyone can access or anyone can use it to be able to authenticate at a very, very high scale. So that allows your organizations to break away from passwords and have an easier to use, more secure means of authentication, not only that, it underpins the zero-trust. All customers are deploying zero-trust as their primary cybersecurity framework, zero-trust is dependent upon identity, and this allows them to really solidify identity rather than have the weak link being passwords. So it unifies that process offers a full identity cycle and a number of different use cases and if these use cases here on the right that are really, really important. Customers are telling us these things really, really matter to them. So remote onboarding, particularly given working from home and new working patterns, if you don’t see someone, it’s very important to have a mechanism to ensure that the person you’re signing up is the person they say they are and ultimately, the person that joins your company, so a way of mitigating fake identity using this technology. Call center verification. This is a huge one. It’s a very large breach vector people pretending to have lost their credentials, phoning into their help desk, help desk don’t see them. So it’s very difficult for help desk to ascertain their identity, and that becomes the weakly because they then share credentials with a given user. We’ve seen a number of breaches in this use case in the past. So this is a very hot topic customers. So again, reinforcing a human oriented business process or even taking the human out of it, to automate it using digital identity based upon biometrics. Account recovery, self-service recovery is a huge one for many customers as well, lost details, another way in which would be bad actors can get credentials. And if an effect, it does get those credentials, they’re in. They hide in plain sight because they appear to be a legitimate user, very, very big threat vector. So you can see some of these different areas, highly, highly critical to our customers and things that haven’t been solved. And this is where the park is going. Think about skating towards the park. We’ve sold a lot of things as a company in the past, but the problems then move upstream. So we’re moving upstream to where those problems haven’t yet been solved and need to be solved, and these are very, very resonant examples with many of our customers. And so if we also look at some of the other agreements that we’ve made we did a great announcement with Smart Eye, a really strong partnership basically Gothenburg as well. So a very nice alignment with the guys at Smart Eye. We announced this in January. For those of you who don’t know who Smart Eye are, I guess, most of you do, they’re an in-the-vehicle monitoring company. So I deliberately use that language because it’s much more than driver monitoring, they have the whole cabin, they have detection, they have sentiment, they have AI. They have eye tracking. So a number of different capabilities that these guys have. But as you think about the cabin and then expand that out to broader areas, opens up a lot of different opportunities for us because we get back a multimodal asset that includes face as well. So really, really powerful set of capabilities that we’ll receive back from Smart Eye that we can take to our customers. And again, it allows choice for those customers if they want something highly available, maybe they use space, if they want something highly secure, they then blend it with iris, they can blend it with Fingerprints. They can blend it with a number of different modalities that will continue to partner on and build out as an organization. So it really opens up that edge side of what we’re doing to offer more to our customers and you can think about service stacking for those customers and an enterprise license type approach for those clients also. So great opportunity, really excited about the partnership with our friends at Smart Eye also. And then the final one I want to touch on, this is more organic, some of the work that we’ve been doing, we announced AllKey last year, but we haven’t just launched it and then stopped. There’s a number of great capabilities we’re adding to AllKey. So the whole point of AllKey is that we give our customers all of the tools they need to integrate fingerprint sensors into their products, whether it’s a FIDO token, whether it’s a car, whether it’s an e-scooter, it could be anything at all where you want to ensure that the person using that device is the identity that should be or perhaps a number of different people. And so this is what AllKey does, it give our customers the choice of their use that, not only that, it has capabilities are like scrolling, so you can use it for navigating a menu. It has a really powerful CPU. So it opens up additional use cases or other things, they might want to use that local compute power to go and do. But we’ve also added mesh or we are adding rather mesh networking to this, so you’re going to have a number of these sensors, for example, dotted around a home that then share the template. So you don’t need to reenroll in every single one. So if you can see a number of different things that we’re doing to continue to evolve and ensure that fingerprints can be used in a very easy way, much, much easier than PIN codes or password for a variety of use cases based on a common platform, in this case, AllKey. So great capability. We’ve also announced our partnership with future electronics because this is about scaling. It’s no longer about us having to be right in the middle of this and have to help our customers fine-tune everything but really giving them the tools so that they can go out and scale using our technology. And then jNet is a really good example of how we’ve been built further on top of that because what jNet do is then bring a software layer for things like FIDO that people can put on top of that as well. So it’s kind of like an AllKey plus if you like. So putting more capability on top two for a number of different outcomes, so that anyone can produce something like a FIDO token or some other software device with all of the capabilities baked in. And for example, you might send a peripheral, a keyboard into a FIDO token. So lots of different things that we can do with the jNet partner building on top of what we’ve already done with AllKey key also. So hopefully, that gives you a sense on how we’re leveraging our core technology, how we’re monetizing it with partners like Smart Eye, but also how we continue to build out what we can offer our customers is we see the problem continue to evolve and grow, and we move towards solving it in a high-scale way for our customers because nobody else is solving this today. So let me move and come back to the financials a little bit more. We can spend a bit of time on that. I’ll ask Fredrik to jump in, in just a moment and help me. But it starts with our revenue in clients. As I mentioned at the beginning, we grew our core business by 12% year-on-year, 53% quarter-on-quarter. You can see how that pans out by business unit, too. We saw strong performance in access, particularly from an exit momentum perspective. So Q3 to Q4 was particularly strong in that business, a number of our very strong clients have been very successful with fingerprints as a mechanism for identification. So some of our large, very large customers in the FIDO token space doing a great job ensuring that people are using fingerprints instead of other mechanisms to identify themselves also in the fintech space, a very large financial organizations using our technology to tether identity to their licenses, for example. And of course, in the payment space, we saw great announcements with Infineon with the SECORA Bio Pay now fully certified with Visa already certified with Mastercard, of course, so really nice to see that in the payment space and continue to see the build-out happening there, too. On the payment space, what I would say is Interesting to see how that’s evolving, too. I see payment moving towards a feature as a part of a smart card rather than a pure stand-alone product. We will see biometric payment cards in some cases, but I think what we’re also going to see, and this is where we are pivoting towards is seeing payment is a feature on a smart card. I’ve talked about this notion in the past of the Swiss Army card, if you like, where as a multifunction smart card that includes payment, it includes logical access. It includes physical access. It includes crypto. It includes EID and it includes third-party software or other flexible use cases, too. So that’s kind of how we see this market continuing to evolve in a multifunction way with payment is one of a number of features on that, so really interesting to see what’s happening here, but great results from the core business. Fred, let me hand to you now, and maybe you can talk a little bit more about some of the key metrics.
Fredrik Hedlund: Yes. Thank you, Adam. Yes. Just continuing on the revenue, like you said, Adam, core, we’re feeling good about it, up 12% year-on-year, 53% quarter-on-quarter. And the total revenue, it just reflects execution of our turnaround plan. If we move to gross margin, that was also up year-over-year and up quarter-over-quarter. And the way we look at gross margin is excluding this item called R&D depreciation, which is a non-cash item. And when you exclude the R&D depreciation, our gross margin was 50%. Now a 50% gross margin is a fairly healthy gross margin. And if you look at the trend going from prior year, 17.9%, the prior quarter, close to 40%, and then in the fourth quarter, 50%. You can see where the trend is going, and we are continuing to focusing on optimizing our gross margin. And we are doing that by focusing on selling our high-margin products. So, we feel really good about that trend. When you look at adjusted EBITDA and free cash flow, they are both negative, but they reflect the acceleration of our turnaround plan in the fourth quarter, and they also reflect our ongoing effort to right-size our cost structure to the new core business. And from a cash perspective, we had $12 million at the end of the year, but we have just announced that we raised a gross $115 million from the rights issue, so we feel good about the – our cash balance, including the rights issue in terms of being able to continue to execute on the transformation plan and continue to invest in growing our core business. And then if you look at the headcount, the headcount story is very important because headcount represents approximately two-thirds of our OpEx. And there also, you can see the trend. If you look at the same period last year, we were at 185. If you look at last quarter, 107, you look at the end of this quarter 71, there also you can see the trend, and we are laser focused on our headcount in 2025. And it’s a key metric in terms of adjusting our cost structure, again, to fit the new reality and the new high-margin product suite that we are investing in. So, with that, Adam, over to you.
Adam Philpott: Super. Thank you, Fredrik. So, let me just close and then perhaps we will go to some questions. We will start with questions on the phone and then we will take some questions online, so do have your questions ready, please. We love taking those. So, to summarize, we are really pleased with the results. The transformation plan is starting to show. But I am really deliberate in that language that, we have not done transforming this company. We have been on a transformation journey, you of whole, thankfully being on this transformation journey with us over the last four quarters. So, we really appreciate you with shareholders coming on this journey with us. And we are really pleased or able to show you that we are starting to go through with that transformation plan. We have got some of those to go with it, but really pleased of the sign to see the work on that hard effort that everybody has put in, the sacrifice that people have made managed us stay in some positive results here. In terms of those results, gross margin as we talked about really moving in the right direction, very pleased with that. The core business is growing. We have had a very, very strong rigor around cost reduction and headcount is a big part of that and that metric really stands out. And at the same time, as you recall from the transformation plan, the balance sheet was a core part of that and now running debt free as a company. At the same time, it is noticed about getting those financials nice and solid is also about driving the company into the future, that’s where the strategy is so important too. And we can’t do one thing, then do the other, we have to do both of these things in the harmony and in parallel. And so those strategic partnerships are a really positive view on what we are actually doing, not just what we are saying in order to execute a diversification strategy and to ensure that what we are greater as a company is being applied to where there is a huge customer need. Identity is no longer about giving access to a firm that’s commoditized. Identity is about helping organizations at scale recognize individuals and be able to ascertain their authenticity. That’s where we are going as an organization. At the same time, we are not just doing that through partnerships. Partnerships are really important to us as we expand the skills that we have, with Anonybit and Smart Eye is great examples, but also leveraging the fantastic core competence that we still have in the company and AllKey, the partnership with jNet. Some of the other announcements we have made with partners like Infineon, really good examples of how we are continuing to innovate organically as well as expand our capabilities. So, with that, let me hand over to Stefan. Stefan, perhaps you can help take us through a few questions.
Stefan Pettersson: Yes. I think we will start with any questions from the phone lines.
Operator: [Operator Instructions] We will now take the first question from the line of Markus Almerud from Carnegie. Please go ahead.
Markus Almerud: Yes. Hi gentlemen. Can you hear me?
Adam Philpott: We can. Great to hear you, Markus, as well.
Markus Almerud: Yes, likewise. Let me start maybe with the anonymous – or Anonybit, sorry, partnership. So, do you think – well, looking at the cloud because this gives you, I mean this makes you enter the cloud. But can you – is it going to be enough, or are there obvious big gaps that you need to, or will you work the cloud by expanding in the cloud with Anonybit?
Adam Philpott: Yes. Great question. Thanks for kicking us off, Markus. Stefan, perhaps you can go to Slide 4 for me and show the strategy that will help me answer it visually there. So, Anonybit is absolutely our core partner in the cloud. I don’t see us needing other core cloud platform partners. They give us a huge amount of what we need to be successful there and help us ingest Edge biometric signals and insert them into a company’s workflow in order to replace pathways. So, that is the primary objective. We feel really good about that. We are doing some co-development with Anonybit to enter the market, but also build some additional capability on that. So, really pleased about that. What I would say, and Stefan, I don’t see this slide up, if you can go to Slide 4 for me, I don’t know if you can, but as I have talked about that identity life cycle? And what do I mean by that, with the first time you see somebody is onboarding, then when you see them again, it’s around log in. They continue to get access and they log in. There might be other things you do with them such as step-up access if they want to access something higher risk. If they lose their credentials and they need to recover their accounts, there are things you need to do. If their account is taken over or breached, there are things you need to do. All the way through to off-boarding when you no longer need to store there, their details, for example. So, there may be additional capabilities that we want to bolster with that. In some cases, we will partner. In other cases, we can already do it ourselves. In third cases, we may build capability to do some of those things. So, there is ongoing revenue opportunities here, but there is enough to get started with. There is a huge amount of opportunity that already exists that we can satisfy purely with our partners at Anonybit.
Markus Almerud: And maybe a follow-up on the revenue bit of this. So, I mean you have several partnerships now. What are your expectations about revenue ramp-up with these partnerships as you go into 2025 and ‘26?
Adam Philpott: Yes. It’s a good – I mean we don’t offer guidance, and so I am not going to tell you how much revenue we are going to get and when. The other thing I would say is we are also being thoughtfully cautious about it, because what we are not going to do is over-commit shareholder investments into something and then drive additional cash burn. So, we are being very balanced about how we go about it to ensure that we are shifting money to where we are going, but not jeopardizing the strong financial position that we have started to put ourselves in. So, we are being really thoughtful about how we pursue that. But absolutely, there are great revenue opportunities with those partnerships. On the Anonybit side, the revenue opportunities are, of course moving into the cloud. So, that is a pure software ARR opportunity, annual recurring revenue. So, that’s really nice to get us into an ARR business. But even on the Edge, we have got our existing business. You have seen the core business is growing. That’s great to see. But we see more growth opportunity, both organically with AllKey and some of the partnerships we have had with jNet, etcetera, but also inorganically with some of the new partnerships we have with people like Smart Eye bringing new software modalities also to the Edge. So, we see software growth opportunities on both sides, and we see some additional organic growth on the Edge too.
Markus Almerud: Okay. And my next question was actually on the Edge in AllKey, because it’s still a fairly new technology. How do you plan to commercialize it, that is, what’s your go-to-market strategy? Do you plan to partner up? Do you plan to be a supplier to some other companies? How do you plan to commercialize it?
Adam Philpott: Yes. I mean so we don’t intend to compete with our customers. That’s for sure. We provide them with the tools that they need to enhance their products with superior identity using our products. And we will continue to do that. Part of the strategy though, in the past, our customers have been dependent on us, so we have sold them our Fingerprint sensors and MCUs, but they have had to come to us to help design it in. And so it’s been a very intensive process. It’s been quite labor intensive, and we have limited capacity. We are not a big company. And so the whole point of AllKey is that we give them the tools and we get out of their way, they don’t want friction. They want to have something that’s easy to integrate. They don’t want to depend on us. They want to depend on themselves. And so we get out of the way, so it allows many, many more companies to then embed this into their products. The other thing I would say about AllKey is, it’s really important that it’s a high-quality product because if you think about it, typically on a customer’s product, that it can’t be – if they put a Fingerprint sensor on there, the product can’t be used with handset. Therefore, they need something that’s high efficacy and high quality, we have a great user experience. So, therefore we are in a really strong position as a premium vendor to support those customers. So, part of the go-to-market is them not being dependent on our limited technical capacity and getting out of their way. We will be embedding it in our customers’ products. But the other thing I will say about go-to-market, I talked about our partnership with Future Electronics, is the way you scale is not by having to serve everybody yourself because we are a small company. But by leveraging partners like our Future who have significant reach globally to be able to go out there and help customers embedded in their products. Not only that, Future sell a number of different technologies that can come together in a combined bundle with our products so that customers can buy all of the things that they need from Future to create and build and sell all of their products. So, that’s kind of the core to the opportunity and how we are thinking about go-to-market for AllKey.
Markus Almerud: And then maybe on pay, it’s quite interesting to hear the talk about the Swiss Army knives function of the card. And do you work together – is this also Infineon’s view of it? Do you work together with Infineon to kind of get this out, or is it…?
Adam Philpott: Great question. And we have been on this journey for a long time with a number of partners, Infineon. I see a number of partners that we have been doing this with. And we talk regularly with these guys. We meet regularly with them. And we are constantly thinking about how is this evolving. Any company that’s looking to create a new market and solve a problem in a new way will pivot is very rare that the first product you launch is what the product ends up looking like when it goes mass commercialization. And so in partnership, absolutely in partnership with the likes of Infineon and all of our other partners, we talk regularly, we strategize together, and as a community, we think about where is the market going and how do we continue to solve problems as that market evolves. So, very much in close proximity with our partners, yes.
Markus Almerud: Okay. And then maybe finally, a couple of household questions, the R&D depreciation that you talked about that is part of the gross margin. I mean I guess some of that is part of old kind of phasing out product, or is it new process? In other words, will it be kind of phased out over time?
Adam Philpott: Fredrik and maybe it’s a great question. I am really pleased you ask that. So, Fredrik, why don’t you come in and talk on this one?
Fredrik Hedlund: Yes. Hey Markus. Yes, so the answer is, yes, will it be phased out. The second part of the answer is that we are working with our auditors to see if it really belongs in cost of goods sold, is there another home for this line item just to make our financials more transparent to the investor community. So, we are going to look at this together with our auditors in 2025 and see if we can move it that would be my preferred option if I am allowed to. However, it will – it is coming down gradually. So, yes, hopefully, that answers your question.
Adam Philpott: This is part of our transformation playing out, right. In public is that as we move away from areas that we were previously in, will be washing some of that out. And I think that’s exactly what’s behind your question there, Markus.
Markus Almerud: Okay. Great. And then finally, maybe on PC, when – what should we expect in 2025? I mean now in some mobile practically going to zero with $3 million of revenues in Q4. And we actually saw, I mean quarter-on-quarter growth in PC. Will it be phased out? How has the phase-out goal to look like? And then I mean unless you find a partner will it linger a little bit, or how do you expect it to move forward?
Adam Philpott: Fredrik, do you want to take that one or do you want me to?
Fredrik Hedlund: Yes. Markus, so we – basically, today, we are only serving customers where we have a sole source to them. So, they are dependent on us. If you remember a discussion around phasing out mobile, we said we will hang on and serve our customers, and we are going to lead mobile gracefully. We are doing the same with PC. There is a few clients and a few models where we are the sole source to them. So, they are dependent on us. So, that’s why you will see a bit in the first quarter, us serving those customers. But at the margin that we are happy with it, okay, because the dynamics have now changed. So, it – we announced the phase out of PC. We are phasing out PC. We are rightsizing our cost structure in that way as well. So, yes, basically what you have seen over a few quarters in mobile, you will see also PC.
Markus Almerud: Okay. Perfect. Thank you very much. I will leave room for others. So, thanks a lot.
Adam Philpott: Thanks Markus. Appreciate the questions as always. Stefan, anything from the chat or the web that’s come up?
Stefan Pettersson: Yes. Let’s take a couple of questions from the web as well. So, there is one on payment, do you see any possibilities there seeing as it might be a huge market? Is there anything that you have learned from PC and mobile that you can apply in payment?
Adam Philpott: Yes. So, a few dynamics, we have learned a lot from PC and mobile, that’s for sure. A few dynamics, obviously, that’s a great question, by the way, so thank you whoever asked that. So, absolutely we still see an opportunity in payment. As I have said, the way that we are targeting that opportunity will continue to evolve. Mobile – sorry, the biometric payment as a market is a massive evolution at the moment. It is very, very farm established. You take a look online, you will see lots of things about palm, for example. You will see lots of things in adhere as well. You will see lots about Fingerprint, whether it’s – we are working with partners, for example, who have a Fingerprint sensor that sits in a retailer. So, it’s not one person, it sits in the retailer and guess what, we can then take that and put the templates in our Anonybit cloud, for example. So, there are so many different ways that people are looking at biometrics as a means for payments today. So, this market is really evolving, no clear winners yet, lots of different ways of potentially doing it, and we are in the game, so that’s great. We are in the game on biometric sensors on payment cards. You have seen the demise of swipe so far for bankruptcy as everybody knows, very different model from us. They didn’t have any IP particularly. They were really aggregating other people’s IP and then putting yet another margin stack on top of it. So, with those guys at the mix, also, I know of course, we have seen some other announcements around other players in this space who are in financial difficulty. We are actually one of the few players kind of standing here. So, there is a real opportunity for us, and we have got great partnerships that are very, very difficult, but then others to come in and take over because the investment cycle has been made, and we are embedded. Now, that’s not to be complacent that we can’t be disrupted by others. Of course, we remain completely focused on competing and winning, but we feel like we are in a really strong position, and we want to stay there. But my comment earlier around also pivoting, so not pivoting away from what we have already done, great products in place, investment made, very solid. But also looking at payment as a feature on our products, not is the sole products itself. So, these smart cards that we have already got activity and today, and we will continue to do more on tokenization, which has talked about a lot in the industry, too. We have a real opportunity to then leverage that investment we have already made and apply it to those products, too. So, we see good opportunity here, but what we need to do is just be thoughtful about how we are continuing to evolve to where the market is going, but also leverage the great investment that we have already made. So, I actually think we are in a pretty good position from that perspective.
Stefan Pettersson: Alright. Thank you. And one question on patent monetization, can you say anything about the potential that you see in that area?
Adam Philpott: Yes, absolutely. I mean we made an announcement, I think it was February, may have been January. We made an announcement with the partner that we are working on to continue to monetize our assets. I mean it takes a long time, I will say that. The level of legal discipline and detail involved in this is time consuming, but we have a train on the track in motion here as well. And it’s another side bet. One of the things I think about a lot is our bets, where are we replacing bets. And I want to make sure we have got smart bets that we are placing. And then there may be other bets that are higher risk, they take low investment, and that’s how we think about it. So, this is a low-cost bet for us, it has good potential, but it does take time. So, we have got the right partners in place, I think helping us pursue that. We have got the right people in our company waiting up and thinking about this every day, so it’s not an afterthought or a packet that gets dropped. So, I think we have got the right plan in place. One of my shortcomings is that I am very, very impatient, maybe it’s the strength, I don’t know. But I would like to see this move faster, but it really is the nature of the beast that these things are highly complex. They are subject to legal cycles, and therefore, they take time. But I am confident that we have got the train on the track, it’s moving at the right pace, and we see opportunities to continue to monetize patterns.
Stefan Pettersson: Okay. Thank you very much, Adam. And let me hand back to you for any closing remarks that you may have.
Adam Philpott: Thanks Stefan. So, I think as I have said in my summary remarks, we are pleased. We are pleased that the really hard work of sacrifices that we have made, the difficult things that we have done of showing green shoots. Really pleased to see that. It’s been a lot of work. Now, what I would also say is, I am not standing on the deck of the ship with a mission accomplished signed behind me. We are continuing to work hard to navigate this company through its transformation. We are pleased that we are seeing those benefits and those positive signs now, but we are going to continue to stay focused to ensure that we see more and more of them as we move into the future. So, I want to thank all of you with our partners and as our shareholders on coming on this journey with us, and I look forward to continuing to return ever more to you as we move forward.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.